Operator: Welcome to Devon Energy's First Quarter 2021 Earnings Conference Call. [Operator Instructions]. This call is being recorded. I would now like to turn the call over to Mr. Scott Coody, Vice President of Investor Relations. Sir, you may begin.
Scott Coody: Good morning, and thank you to everyone for joining us on the call today. Last night, we issued an earnings release and presentation that cover our results for the quarter and our forward-looking outlook. Throughout the call today, we will make references to our earnings presentation to support our prepared remarks, and these slides can be found on our website. Also joining me on the call today are Rickhard Muncrief, our President and CEO; Clay Gaspar, our Chief Operating Officer; Jeff Ritenour, our Chief Financial Officer; and a few other members of our senior management team.  Comments today will include plans, forecasts and estimates that are forward-looking statements under U.S. securities law. These comments are subject to assumptions, risks and uncertainties that could cause actual results to differ from our forward-looking statements. Please take note of the cautionary language and risk factors provided in our SEC filings and earnings materials. With that, I'll turn the call over to Rick.
Richard Muncrief: Thank you, Scott. It's good to be here this morning. We certainly appreciate everyone taking the time to join us today. It has now been nearly 4 months since the closing of the merger between Devon and WPX, creating a premier U.S. energy company that possesses a powerful suite of assets and a disciplined strategy to maximize value for our shareholders.  With this advantaged platform, our merger integration efforts are complete and our go-forward team is highly energized and delivering on exactly what we promised. We are executing on our maintenance capital program, capturing cost synergies, generating free cash flow and returning significant value to shareholders through higher dividends and the aggressive reduction of debt.  The progress we have made with each of these strategic objectives is evidenced in our quarterly results and this is only just the beginning. It is going to be an excellent year for Devon as we continue to advance our strategic plan.  Turning your attention to Slide 3. With many investors possibly new to our story, I would like to review why Devon has the right business model to maximize value for our shareholders. To ensure that we are excellent stewards of your capital, any successful strategy in a commodity business must be grounded in supply and demand fundamentals. With fundamentals signaling maturing demand dynamics for our industry, we fully recognize the traditional E&P model of prioritizing only production growth is not the correct strategy going forward.  To optimize value creation in the next leg of the energy cycle, a company must deploy a financially driven model that prioritizes free cash flow generation over production growth. At Devon, this is exactly what we are doing. We're limiting top line production growth from 0% to 5% in times of favorable conditions. We're pursuing margin expansion in earnings through scale and a leaner corporate cost structure. We're moderating reinvestment rates to levels substantially below that of cash flow. We're maintaining low levels of leverage to establish a greater margin of safety.  And we're returning more cash to shareholders via our innovative fixed-plus-variable dividend policy. Our talented team at Devon takes great pride that we are leading the industry with this disciplined operating framework. I personally feel it's time for industry to stop contemplating and talking about the possibilities of a cash return model and more quickly embrace this necessary change. High returns on capital employed, reduced reinvestment rates and cash flow generation will determine the winners in this cycle, not the historic behavior of delivering outsized production growth. Now jumping ahead to Slide 4. And as I touched on briefly in my opening remarks, we delivered on exactly what we promised we would do in the first quarter.  Our disciplined plan limited reinvestment rates to just over 60% of cash flow we substantially expanded margins, and we continue to take steps to reduce our corporate cost. As you can see on the bar chart graph to the right, with the excess cash our business is generating more than 65% of our capital allocation has been deployed toward dividends and debt reduction.  This return of capital to the shareholders is a clear differentiator for Devon. Looking specifically at the dividend, we were able to accelerate cash returns in the quarter through our innovative fixed-plus-variable dividend framework, which we implemented earlier this year. The initial benefits of this generous payout policy were evidenced in March when the owners of our company received their first variable dividend in conjunction with our regular fixed dividend.  Based on first quarter results, our Board has approved another fixed-plus-variable dividend of $0.34 per share. This payout represents a 13% increase versus last quarter and is more than 3x that of the same period a year ago. This thoughtful and uniquely designed dividend framework is foundational to our capital allocation process, providing us the flexibility to return cash to shareholders across a variety of market conditions through the cycle.  In addition to the dividend, another way we returned value to shareholders was through our recent efforts to reduce debt and enhance our investment-grade financial strength. Since the closing of our merger, we have already retired $743 million of debt. With our actions year-to-date, we have executed on nearly half of our $1.5 billion authorized debt repurchase program. And we expect to reach our target of 1x net debt-to-EBITDA by year-end. Jumping ahead to Slide 10. While first quarter production was limited due to severe winter weather, I want to be clear that our operations are scaled to generate substantial amounts of free cash flow.  Specifically, in 2021, we are on track to deliver a highly attractive free cash flow yield at today's spot price. The free cash flow yield story gets even better. If you look at us on an unhedged basis and assuming year-end run rates for cost synergies. This upside case is represented by the red line, showcasing a free cash flow yield in excess of 20% and at today's pricing. With this powerful cash flow stream, I feel it is important to reiterate that we have no intention of allocating capital to growth projects until demand side fundamentals recover, and it becomes evident that OPEC+ spare oil capacity is effectively absorbed by the world markets.  On Slide 12, with our cash return business model, building momentum, I want to highlight the unique value proposition that Devon offers from both a dividend and a growth perspective. To demonstrate this point, we've included a simple comparison of our estimated dividend yield in 2021 at $60 WTI pricing, assuming a 50% variable dividend payout. As you can see on the slide, Devon's implied dividend yield is not only highly differentiated compared to peers, but is vastly superior to virtually any other sector and asset class in the market today.  Importantly, Devon is more than just a yield play. We have our quality and depth of resource within our portfolio to deliver sustainable per share growth that will reward shareholders for many years to come. The final topic I want to briefly touch on is with the integration of our operations progressing ahead of plan. In the very near future, we plan to issue more specific guidance on Devon's go forward environmental priorities.  This disclosure will include formal targets to reduce greenhouse gas emissions, methane intensity rates and our strategy to improve upon other key performance measures. And with that, I'll turn the call over to Clay, our Chief Operating Officer, to cover our recent operating highlights.
Clay Gaspar: Thank you, Rick, and good morning, everyone. I first want to acknowledge the hard work that our organization has poured into this merger. Our team has made substantial progress integrating our organization, assets and processes. We knew it was not the easy way to combine 2 strong companies, taking time to evaluate the best practices has proven to be a very valuable exercise.  I'm here in the corporate office, to each of our field offices, I've seen some great examples of setting aside historical bias listening to new ideas and then coming together to find the right solution for the go-forward enterprise. External forces certainly have compounded the complexity. To pile on to the challenges of the pandemic, February's winter storm was a major event that, again, tested the resolve of our team.  As it turned out, once again, I saw incredible leadership, innovation and personal sacrifice in the name of the greater good. I saw many displays of our employees not only helping in expanded capacity for Devon, but also in their communities. This exemplifies the culture of the organization that we have and continue to refine.  I'm pleased with the progress that we are making. I'm exceptionally excited about the future of Devon as we benefit from each other's legacy company best practices with an incredible portfolio and a rock-solid balance sheet. Let's flip to Slide 14, and we can discuss our world-class Delaware Basin asset. Once again, the Delaware Basin was the driving force behind our operational performance for the quarter, with our capital activity focused on low-risk development projects, higher-margin production grew 19% year-over-year on a pro forma basis.  This strong production result was driven by a Wolfcamp oriented production program which accounted for roughly 2/3 of the 52 wells that commenced first production in the quarter. In the second quarter, we'll have several big pads that come on in the Stateline area, which will be a blend of Bone Spring and Wolfcamp completions. While the overall execution of our capital program was excellent in the quarter, new well activity was headlined by our Danger Noodle project in the Southwest County.  This 2-mile lateral development, targeting the Upper Wolfcamp achieved average 30-day rates of 5,100 BOE per day with a 67% oil cut. Importantly, the capital cost came in 20% below our pregeral expectations, driving returns on invested capital significantly higher than planned. Another key project for us this quarter was the 11 well thoroughbred development in Eddy County that codeveloped 3 Upper Wolfcamp intervals.  Due to timing, we only have commenced first production on 2 wells, but these -- but thus far, these wells have been outstanding with peak rates exceeding 4,000 BOE per day. The remaining 9 thoroughbred bird wells are being brought online and coupled with our current completion activity in the Stateline area. I think it's fair to state that we have a strong line of sight to our Delaware production profile and cash flow growth in the upcoming quarter.  The final item I'd like to cover on this slide is the positive regulatory update regarding our federal acreage, which accounts for about 1/3 of our total Delaware leasehold. As many of you are aware, earlier this year, the Department of Interior issued a directive that restricted permitting on federal land for a 60-day period.  This order lapsed on March '22. And with the team's forethought and proactive planning, we navigated through the 60-day period without any impact to our day-to-day operations or full year capital plan. What is even more encouraging is that since the order has lapsed, we've received approval on more than 50 new drilling permits.  In aggregate and netting for the wells that we've drilled, we have about 500 federal drilling permits, reverting an inventory of about 4 years at the current drilling pace. Even though this positive regulatory news is right in line with our expectations, we will continue to be highly engaged and collaborative with policymakers to ensure that we retain the ability to effectively develop our federal leases and maximize value for all stakeholders involved.  Moving to Slide 15. We continue to build upon our trend of operational excellence in the Delaware during the quarter. As you can see on the left-hand chart, our drilled and completed cost declined once again to $534 per lateral foot in the first quarter. These results rank among the very best in the industry and represent a 43% improvement from just a few years ago. This differentiated performance is underpinned by steadily improving cycle times, refined completion designs, and the deployment of leading-edge technology across all facets of the D&C value chain.  Shifting to the middle chart. We also continue to act with a sense of urgency to materially improve our cash cost structure in order to get the most value out of every barrel we produce. This focus is evidenced by our first quarter results where field level costs improved 11% year-over-year. To achieve this positive rate of change, we have meaningfully reduced our recurring LOE expense across several categories, including chemicals, water disposal, compression and contract labor. Looking ahead, I expect further improvement. The team is hard at work identifying and capturing additional savings that will generate margin expansion throughout the remainder of the year.  Turning to Slide 16. Another asset I'd like to put in the spotlight today is Anadarko Basin, where we are officially back to work in this basin with 2 operator rigs funded by our joint venture with Dow Chemical. Both Rick and I have long histories with this basin. And literally, it's just right down the road from our corporate headquarters. I'm very impressed with the great improvements that our team has made in the last couple of years. By way of background, in late 2019, we formed this partnership with Dow in a promoted deal where Dow earns half of our interest on 183 undrilled locations in exchange for a $100 million drilling carry.  In addition to the benefits of the drilling carry, returns will also improve with targeted up spacing and from midstream incentive rates that will reduce our per unit cost for Wells associated with this drilling JV. When you combine these factors and the continuing operational improvement, these returns will be exceptional. Year-to-date, we have spud 8 wells in the liquids-rich core of the play and we are on track to drill up to 30 wells for the full year 2021, targeting in a mix of Meramec and Woodford opportunities. I have full confidence that the commencement of the Dow JV is the first of many positive steps Devon will take to extract value from the scalable and repeatable resource play.  And lastly, on Slide 7, the key message here is that even with the severe winter weather we encountered in the first quarter, we are well on our way to achieving all of our capital objectives for 2021. Looking specifically at the second quarter, we expect the midpoint of oil production to be 288,000 barrels per day, coupled with a capital spend that is slightly elevated due to the timing of Delaware completions, and some of the midstream projects.  Although the portfolio effect would typically smooth out a stack of events like this, sometimes capital from larger number of pads and projects can fall in one quarter. Following the second quarter, capital will fall back to a more nominal rate. We will continue to work our synergy gains into the capital projections as we work our best path forward. This should continue to offset much of the inflationary pressure in the industry that we will see in a $60-plus environment. And with that, I will now turn the call over to Jeff for additional commentary on our financial results.
Jeffrey Ritenour: Thanks, Clay. For today, I will cover the progress we've made on our financial priorities and highlight the next steps in the execution of our financial strategy. Beginning on Slide 5, a key and differentiating part of our financial strategy is our ability and willingness to accelerate the return of cash to shareholders. At Devon, we have a long history of returning cash to shareholders, paying a quarterly dividend for 28 consecutive years that has increased at an average rate of more than 10% per year.  To step up our game and build upon this tradition, earlier this year, we implemented our fixed plus variable dividend framework. This cash return strategy is designed to pay a sustainable fixed dividend and evaluate a variable dividend on a quarterly basis.  The fix component of this policy is our legacy quarterly dividend that is paid at a rate of $0.11 per share and targeted at a sustainable payout level of approximately 10% of operating cash flow and mid-cycle pricing. The variable dividend is intended to be a supplemental distribution of up to 50% of excess free cash flow beyond the fixed dividend. As Rick touched on earlier, this isn't just an interesting theoretical concept.  We are executing on this framework, and we paid our initial fixed plus variable dividend in March of this year based on our fourth quarter results. And with our strong financial performance in the first quarter of this year, the Board approved a 13% increase in our fixed-plus-variable dividend to $0.34 per share. Both the fixed quarterly dividend of $0.11 per share and the variable dividend of $0.23 per share are payable on June 30 to shareholders.  Turning to Slide 6. In addition to higher dividend payouts, another strategic priority for Devon has been the repayment of debt to further strengthen our investment-grade financial position. So far this year, we've made significant progress towards this initiative by retiring $743 million of outstanding notes. While our balance sheet is in great shape, we're not done making improvements. Today, we acted on the next step in our plan by notifying bondholders of our intent to redeem $500 million of callable 2026 notes in June.  In combination, these debt reduction efforts will reduce our annual run rate interest expense by nearly $70 million, further lowering our overall breakeven per barrel. With the execution of our plan, we're on pace to reach 1x net debt-to-EBITDA target by year-end, and these debt retirement actions extend the average maturity of our debt portfolio to approximately 13 years with over 60% of our debt maturing after 2030.  Turning to Slide 7. Another area of focus that will enhance Devon's cash flow generating capabilities going forward is the capturing of merger-related synergies. The integration team has done a great job advancing this initiative year-to-date. And as a result, we are now raising our cost savings target to $600 million by year-end 2021. This updated target represents a 4% increase in cost savings compared to our previously issued guidance. While we're making strong progress across all categories. This improved outlook is driven by capital efficiency gains and the benefits of enhanced purchasing power in the Delaware Basin.  Overall, about 60% of the $600 million of cost savings targets has been incorporated into our full year 2021 outlook, and we have clear line of sight to capture the remaining synergies by year-end. The capturing of these synergies is very material and impactful to Devon, [indiscernible] in a PV-10 uplift over the next 5 years of $2.5 billion or roughly 15% of our market cap. And with that, I'll now turn the call back to Rick for some closing comments.
Richard Muncrief: Thank you, Jeff. Great job. I would like to close by reiterating his key message, and that is the integration of the 2 companies is complete, and the team is delivering on exactly what we promised to do. We have prioritized free cash flow over growth. We have identified and captured cost synergies above and beyond our plan. We have a free cash flow that compares favorably to virtually any other asset class in the entire market we're rewarding shareholders with higher dividends, and we've taken some steps to aggressively reduce the debt.  Our team is focused and energized in 2021 is shaping up to be an excellent year for Devon. This is just the beginning. Devon's future is very bright. And with that, I will now turn the call back over to Scott for Q&A.
Scott Coody: Thanks, Rick. We will now open the call to Q&A. [Operator Instructions]. With that, operator, we'll take your first question.
Operator: [Operator Instructions]. Your first question comes from Arun Jayaram with JPMorgan Securities.
Arun Jayaram: Rick, let me start with you. One of the thoughts or incoming questions we've been getting is, call it, beyond 2021, how do you think about balancing the development CapEx portfolio renewal and returning cash to shareholders from a capital allocation standpoint, in particular, we've been getting some questions around Devon's interest. In a couple of the larger Permian A&D opportunities. But just seeing where your heads at as you look to balance some of your organic opportunities and plus other opportunities in the marketplace.
Richard Muncrief: Yes, Arun, that's something we'll always be contemplating. But right now, we're really focused on 2021. And the second half of this year is really shaping up to be a quite strong second half. We're going to see great momentum going into 2022. As far as the capital plan, we've not started working that yet. That will take place at later throughout the year. So I think it's a little bit early. I know that investors are really interested in that. But I think suffice to say for us right now, we're really focused on having great momentum into 2022. And with a keen focus, still to be on generating free cash flow and getting that back to shareholders. I think the second part of your question is around maybe some consolidation that's going on. You have seen quite a few transactions that have taken place over the last few months. I think we've been on record of saying we're we support that. I think some of the industry needs to do. But as far as Devon specifically, we've had a high bar that bar just continues to go up. When you start looking at the organic opportunities we have, and Lea and Eddy County, New Mexico and Loving County and Reeves County, Texas, you can just see that just in Inter Delaware, we have just a phenomenal amount of running room.  And so we just have to be thoughtful about that. And on top of that, we have our or other assets that all are playing a very key role for us in the company and the go-forward plan. So that's kind of where we are today.
Arun Jayaram: Great. Great. And my follow-up, you noted more than 50 permit approval since the moratorium lapsed. Clay, would you view this as kind of business as usual at the BLM? Or how do you characterize what you're seeing in terms of ongoing permit approvals?
Clay Gaspar: Yes, Arun, I would say it's a little tough to say business as usual, right? I mean we work very closely with lots of counterparties, including the BLM, and they're in a little bit of a tough spot. I mean they're still trying to figure out directives from the administration from the Department of Interior. So I would say we're still in a bit of a transitional phase. But that doesn't deter from our ability -- or our focus on continuing to be a good partner, working very aggressively and very supportively with them, making sure that we are proactive in our business so that we don't find ourselves in a short-term pinch.  And I think that's proven out to be very advantageous as you had -- as we've seen in the prior disruption that we've experienced. So I think we're still a little bit away from business as usual, but we look forward to that for everybody's sake.
Operator: Your next question is from Doug Leggate with Bank of America.
Doug Leggate: Sorry, guys, I had the mute button on. So as -- I wanted -- Jeff, I wonder if I could start with you on the free cash flow yield slide that you have on the deck. And I wonder if I could walk you through some numbers to see if I'm getting to the same place that you're trying to tell us to. You're basically, in Slide 10, you're showing is a 20% free cash flow yield at $60 WTI. And you're showing us 285,000 barrels a day midpoint production and a 40% WTI assumption for NGLs. If I do the math on that, it basically says a senior market cap last night was about $17 billion, and you put these charts together, us about $3.4 billion of implied free cash flow. And if I divide through by the oil sensitivity, it suggests that those are about $30 or something, which means your breakeven is below $30. Can you confirm or deny that, that math is close to be right? In other words, what do you think your sustaining capital breakeven on price is today?
Jeffrey Ritenour: Yes. No, Doug, you're exactly right. The one caveat I'll make, and we denoted on the slide, obviously, we've assumed that we've captured all the synergies in this analysis. And we've also eliminated, obviously, the hedges that were burdened by in the current year. But when you put that all together and think about what the power of this business model can do going forward at these higher prices that we're currently experiencing, that's -- it's incredibly powerful. And that's what we try to demonstrate here on the slide is, although you can see from the bars, which are burdened by the current construct. When you eliminate some of that, you capture the synergies, you eliminate the commodity hedges on a go-forward basis, those are the kind of free cash flow yields that we think we can generate.
Doug Leggate: I'm trying to get to the underlying number. But to be clear, I think both Dave and Rick before had said your breakeven was in the mid-30s. I just want to make sure that what I'm understanding is actually $5 lower than that.
Jeffrey Ritenour: Yes, that's right. We're pushing to the mid- to low 30s. And that's going to go lower as NGL prices improve.
Doug Leggate: Got it. My follow-up then is, look, it's obviously, I'm trying to keep valuation very simple. Your question then becomes is how long can you do it for is basically an inventory correction. And I realize you can move capital around the different basins. But when you look at your business today, when we think about a very simple excel, sustainable business as a starting point for a valuation discussion, how long can you sustain that type of mix of 285,000, $1.7 billion of capital?
Jeffrey Ritenour: Yes, Doug, I'll let Clay weigh in on the inventory.
Clay Gaspar: Yes, Doug, we're still working on pulling together the quantifiable numbers of what we would call inventory, make sure we're talking the same language. But I would say, at a real high level, both legacy companies had substantial inventory. And I think as we continue to run in this 0% to 5% window, it's multiple -- many years of forward inventory.  And you know how the maturing of these opportunities evolve. So we look very closely at to, say, the next 5 years of inventory to make sure that we are ready to invest in any one of those projects, which we are. And then kind of that 5 to 10-year span, those may take additional down spacing tests understanding the right completion techniques and that maturing happens in those coming years. So I would say it's probably closer to a 10-year range, but we will get -- we'll continue to refine that and work towards a real tight number that we can talk about in a consistent method.
Doug Leggate: That's really helpful. Hopefully, you see what I'm trying to get to, but I appreciate the answers, guys.
Clay Gaspar: Yes. The summary is it's great news. We've got exceptionally low breakeven, a lot of exceptionally good inventory and exceptionally strong balance sheet. So that makes for a pretty good environment.
Richard Muncrief: Yes, Doug, it's Rick. I'll just weigh in real quickly. I just think that I would give this team maybe another quarter, and you'll get a little more clarity around where that breakeven is. But I think I think your view is directionally correct, and we'll continue to tighten that up a little bit.
Operator: Your next question is from Neil Mehta with Goldman Sachs.
Neil Mehta: Yes. I want to stick on Slide 10 here. And when you talk about the 20% free cash flow yield, I want to bridge that back down to dividend yield. And as I kind of assume here, Rick, that the 20% free cash flow yield kind of accrues to a 10% variable dividend, all else equal. Plus, we're talking about 2% fixed, so low double digits sort of dividend yield as you look out into 2022 at $60 WTI. And I guess the one swing in that math, to the extent that math is right, is whether you still will be running at a sustaining program at that point? Or do you see a scenario at a $60 WTI, where you're starting to layer in growth capital?
Richard Muncrief: Yes. I think you're right on. I mean, some of those numbers -- that's what the numbers definitely imply. We look at it the same way. So I think we align closely with you. I think as we think about 2022 and beyond. The key word for us, I think, is optionality. There's no doubt we could have just almost a stunning yield coming from the company. And we'll just have to balance that with continuing to aggressively pay down some debt and strengthen the balance sheet. It's already in good shape.  But I think the key word for me is optionality. And I think that's kind of helped. I think we should look at it right now. But directionally, you were absolutely correct. The free cash flow yield at these kind of levels and gives you the ability to pay a very, very substantial variable dividend.
Neil Mehta: And Rick, what are you looking for in terms of switching from sort of a maintenance-type program, running the business for free cash flow to saying that the world needs your business to actually operate for growth, if that makes sense? Or is the bar so high to do that and your framework has fundamentally changed. That you see very little scenario, very few scenarios where it would be appropriate to take a more growth-oriented approach. Does that make sense?
Richard Muncrief: It does. I think for us, we are absolutely spot on with the free cash flow generation being our #1 priority. As you think about the future, as far as growth company is concerned, the framework we laid out when we announced this transaction back last September, I think, is still intact. And that is we see up to 5% growth is probably, as we think about different sensitivities, that still is where we land. So 5% growth at a -- as you're approaching 300,000 barrels of oil a day, that's not insignificant growth. And so if you think about the corresponding cash flow that comes from that is something that we just has to contemplate. But optionality is a great thing to have.
Operator: Your next question is from Jeanine Wai with Barclays.
Jeanine Wai: My first question is just on return of capital. The leverage is on track to reach 1x by year-end. Your target or time or less. And you've talked in the past, to the extent that the balance sheet is in good shape from leverage, cash, all that, the macro looks constructive and you're generating good incremental free cash flow. You'd reconsider visiting the up to 50% payout on the variable? And then potentially revisiting the 10% on the base dividend? So do you think you'll be in a position to maybe start more seriously contemplating that next year? And in this situation, would buybacks just look more attractive because it's generally a means to lessen the base dividend burden?
Jeffrey Ritenour: Yes, Janine, this is Jeff. I think you're spot on. As we've talked about in the past, as we continue to execute on the plan and generate excess free cash flow into this year, we feel really good about where the balance sheet is with the announced additional $500 million debt reduction we announced today, we're well down the path to reaching our targets. We're forecasting to be at that kind of 1x net debt-to-EBITDA target at the end of this year, if not sooner. So we feel really good about where the balance sheet is. And then to your question, we'll absolutely be talking to the Board about should we reevaluate that 50% threshold and maybe start putting more cash to the variable dividend beyond that 50% and then even considering things like the fixed dividend as well.  I will tell you the way we think about the fixed dividend, as you mentioned, is a payout ratio of cash flow kind of 5% to 10% on normalized pricing, which historically, we thought about normalized pricing kind of being in that $50 to $55 oil range. If we believe there's, as Rick mentioned earlier in some of his comments, if we see a structural change, in the pricing dynamic in the macro environment that would suggest to us that normalized pricing is higher than that kind of $50 to $55 level, that's when we would reevaluate the fixed dividend. But -- so I think what you're most likely to see from us in the near-term is incremental cash on the variable dividend and an increase in that threshold later this year or certainly into next year.
Jeanine Wai: Okay. Great. We're looking forward to that. And then maybe our second question is a follow-up on Arun's question. You've got a high bar because you have very strong operations and a great portfolio right now. You have a strict financial framework for evaluating inorganic opportunities. And I guess our question is maybe a little more philosophical. Is financial accretion enough of a reason to do a deal as things are maturing in the industry as rate of change starts to slow down a little bit with either well results or costs with inflation on the horizon. Is that enough of a reason for financial patient? Or do you think there is still sufficient running room left with your existing capital efficiency so that you think you'll still be able to remain competitive on like free cash flow accretion over time?
Richard Muncrief: Jeanine, I see it. David Harris is here with me, may have David weigh in as well. But the way I see it is financial accretion is absolutely critical. So it's really the latter of your two directions. For us, there's we do have just a wonderful inventory. We're executing very well. We do see some opportunities to improve not only cost structure, but overall EURs and -- throughout our throughout our asset base. And so we have a high bar. I don't know how else to put it. And we're going to be very, very disciplined. That's not going to change. And I know that there's a lot of talk out there. But Dave, do you want to weigh in any way you see things differently?
David Harris: Yes, Jeanine, this is David. Certainly, the financial accretion is an important component of how we would think about opportunities. But as we've pretty consistently said, for the last several years, it's one of a number of factors. We'd also be thinking about strategic fit within the portfolio and the possibility for operational synergies and margin expansion opportunities. Clearly, inventory would need to move towards the front of the queue to effectively compete for capital. So it's a balancing act across all those things. And as Rick and Clay and Jeff have highlighted here. We have a lot of confidence in the business, both today and as it's going to continue to improve going forward.  And so that's what drives the high bar and the discipline we're going to have as we think about balancing those factors.
Operator: Your next question is from David Heikkinen with Heikkinen Energy Advisors.
David Heikkinen: As you think about your free cash flow and that yield, I think the question that has come up if 50% today going into the variable could easily, whatever you said, stunning, Rick, it like, well, 50% cap works for now as you think about the balance sheet and some sustainability. But how does the Board and how do you guys think about increasing that 50% payout of free cash flow over time?
Richard Muncrief: Well, I think, Jeff, Dave touched on that briefly, but I think the Board will be thoughtful, and we'll be disciplined, but also open-minded. If that's the right thing to do, that's we're seeing and hearing feedback from our shareholders, that's the thing to do. We'll certainly look at that. Jeff, I mean, you want to weight in?
Jeffrey Ritenour: David, the only thing I would add to my earlier comments is we're not averse to continuing to build cash and driving our net debt lower. We obviously focused on the 1x net debt-to-EBITDA target, but we're not averse to taking that even lower. But as we mentioned before, I mean, we're in an enviable position of generating a significant amount of free cash flow. We're just fundamentally of the belief that given our maintenance capital program and how we're executing, we need to return that cash to shareholders. And so I think it's likely that our Board will debate and discuss the opportunity to increase that threshold and then consider other options to continue to get cash returns back to shareholders.
David Heikkinen: Yes. And as you've talked with your shareholders, and you get some sustainability of this dividend payout, you now have 2 variables in the bank or will soon in June. Have you talked at all about like what yield they price to? I mean, do you get down into the 6%, 7-type percent range getting priced in? Or have you had any of those discussions at all?
Jeffrey Ritenour: Yes, David, honestly, we haven't got a lot of clarity on that from investors in our conversations at this point in time. I'm looking forward to -- we've been really excited to get not only 1 but 2 of these kind of under our belt and hopefully start to gather some of the attention that we think it deserves. And I think it's likely we'll have some of those conversations going forward. But frankly, just haven't got a lot of line of sight to that at this point.
David Heikkinen: Your stock clearly isn't there yet.
Operator: Your next question is from Nitin Kumar with Wells Fargo.
Nitin Kumar: Rick, I'm going to start off on -- hedges were a bit of a drag. I think I saw last night that you were paying almost $4 or $5 a barrel equivalent in the first quarter. As you get closer to your 1x debt target, and obviously, you're being great on the fixed-plus-variable strategy. What is the future of hedging at Devon at a strategic level?
Richard Muncrief: I think that's a question. I think it's bought on a very timely, and I want to kick it off and let Jeff close it out. But a little -- if you look in rearview mirror, obviously, 12, 14 months ago, it was a much more stark picture with the commodity tape when you're considering the pandemic. So I think a lot of companies, such as ourselves, both legacy companies actually weighed in. We had a place in defense, quite honestly. And so we ended up with some hedges that if you look in rearview mirror, you you're leaving some money on the table, so to speak.  But it was the right thing to do, we think, at the time. And kept confidence with the investment community and protect some cash flows, all sorts of things. As we look forward, obviously, it's a new world where you have much the scale that we now have as we talked about approaching 300,000 barrels of oil a day, the balance sheet shrink, all those things. We are taking a different view than what we have in the past. I think historically, both legacy companies typically like to be in that plus or minus 50% hedged level.  Time to time, it may be above that or below that to pin on the outlook. But it's where we've been thus far. But I think now it's -- with the cash flows, the balance sheet, it's a little bit of a different story. So Jeff, what would you add to that?
Jeffrey Ritenour: Yes. No, Rick, I think, you nailed it. The only thing I would add on is, to your question is we feel really good, again, where the balance sheet is and the free cash flow generation capability sits today. So we're roughly kind of on the back half of this year, I think 40% hedged. As it relates to oil. And then as you move into 2022, I think we're more hovering around maybe 20% hedged. We feel really comfortable with those levels to just reiterate Rick's point. And so I don't think you'll see us add hedges in a meaningful way based on where we sit today and how the balance sheet.
Nitin Kumar: Great. That's helpful. There's a lot of topics on my mind, but I don't want to be a dead force. We've touched on consolidation and Devon's growing that. But I can't help but notice also, you have 5 basins right now, but 80% of the capital is going to the Delaware. And I just maybe take a different tact and ask, how do those 5 assets fit with the long-term strategy? I mean, where does the Podwer River Basin or the Anadarko fit for the long-term future of Devon right now?
Richard Muncrief: No, that's a good question. And I think right now, as we've said, we're in year 1 of the integration. Every one of the assets that we have are playing a role with the free cash flow generation focus that we have. And so -- and I think Clay even talked about it. There are some things that we're doing in the Anadarko that or test that could really change your minds also as assets and make some great returns right now with the JV that we have with Dow Chemicals.  So it's something we'll always look at, Nitin, but we feel really good with our portfolio. We feel really good with our free cash flow generation and balance sheet, and we want to be really thoughtful if we need to do additional, I'd say, portfolio optimization.
Operator: Your next question is from Paul Cheng with Scotiabank.
Paul Cheng: Rick, one of your largest competitors just talked about increasingly, they're going to drill the 15,000 feet lateral well. I think up until recently that most people thought only 10,000 to 12,000 is the optimum. But it seems like they are suggesting differently. So just wondering that, do you guys have a view on that? And whether that's much of an opportunity for you to improve your lateral length and improve your efficiency in here?
Richard Muncrief: Yes, I'm going to let Clay handle that one.
Clay Gaspar: Yes. Thanks for the question, Paul. I would say both legacy companies have a history of 3-mile wells as well. On the WPX side, it was more in the Williston Basin. I can tell you that, that third mile sometimes was productive to the level that it should be. And sometimes, we looked at it, and we really scratched our head wondering if we were effectively draining that third mile. So I would say it was a situational analysis that we didn't move towards that as the standard. Now flipping over to the Delaware Basin, Devon has really led the industry on some 3-mile development. And what we're seeing on that side is that third mile is very productive. Obviously, very cost competitive.  And when you combine that, it shows to be really a nice accretive procedures to do. Now there's a backdrop of land. Once you organize a development for an area, it can be difficult to immediately switch from a 2 model a 3 mile. But there's a situation, we talk about synergies. This is something that will never show up in the cash flow statement, but it is an absolute synergy. So we had some wells that were on the calendar from the WPX side that were 3 miles -- a 3-mile development.  We were going to break it into two 7,500 mile developments -- or 7,500-foot developments, excuse me. And that was the plan because we didn't have the existing basis of experience in the basin that we felt confident that some of our best stuff, and we really want to risk experimenting with 3 miles here.  Once we've merged the companies, the teams come together. Now immediately, we have a couple of dozen very high quality, really good experience operations that we were able to apply to the state line area, and we flipped that to 3-mile development. So I would say, where appropriate, we feel very comfortable in the technology being able to drill that third mile is not the biggest challenge. In my mind, it's effectively stimulating and draining that third mile. And I think from the experience from the legacy Devon side, we've proven that it's very effective. So great question, and I appreciate that.
Paul Cheng: And Clay said in your portfolio that what percentage of the wells over the next several years do you think you may be able to push into 3-mile?
Clay Gaspar: I don't know the exact number, but I would put it pretty low. Like I said, we have a couple of dozen on the Devon side. We're fairly far along on the development scenario kind of a setup of some of our other areas, especially on the Texas side, kind of working towards the 2-mile development. And so I think it will be looking for those opportunities, maybe that we had a 3-mile stack or we could trade into those but at this point, I would say it's going to remain a relatively small amount of our future development. But where appropriate, it's great to have that tool in the toolbox.
Richard Muncrief: Yes. Paul, this is Rick. I may add, one of the things that our exposure in Lea and Eddy County, those are federal units and sometimes with federal units, you don't have internal hard lines. So it really sets you up nicely to drill the 3-mile lateral. So that's something that -- it's still too early for us to talk about 2022 and beyond plans. But I would say our land position is really conducive to -- in some areas to do just that.
Paul Cheng: Right. And Rick, you have touched on the consolidation trend and talk about from the position of Devon. Just curious that, I mean, the 12-month mega big difference with the much stronger share performance and commodity prices. When you talk to your peers, do you get a sense that, I mean, the consolidation trend is still alive and kicking or that everyone is sort of happy and that the demand for -- or the willingness to sell have substantially come down. So from that standpoint, the consolidation trend may be open in the meantime?
Richard Muncrief: Well, I think the consolidation -- the trend has been a little -- it's really been a little hard to draw a straight-line for it. We've seen -- just -- I'll just go back to last September, you saw 3 really attractive transactions happen back-to-back to back, and then it was pretty quiet. And then since that time, most of the transactions have been asset level deals. And I'd say in that $200 million to $800 million range, a few -- the few of those that have been done. But it's hard to have a trend. I think that as far as consolidation, you'll probably see it continue to some degree. And I think it's -- we've long said, it's probably a healthy thing for our industry. But it depends on which one of our peers we talk to.
Operator: Your next question is from Neal Dingmann with Truist Securities.
Neal Dingmann: Rick, I'd be remiss if I didn't ask Clay more about this Danger Noodle project. Yes, specifically, I mean, it wasn't just the well results, but even the cost. Clay, if you could just talk a little bit, was it just focused on the Upper Wolfcamp? And what did you guys do to continue to get those costs down there like that? And can you continue that in others?
Clay Gaspar: It's pretty exciting. Just on the cost front. We show that quarter-over-quarter trend really from back in 2018 and a 43% reduction in D&C is pretty remarkable. But it's much more -- there's so much more opportunity because if you think about those -- that particular pad, that was really drilled and completed without much of the synergies that we're talking about from the combined companies. As I look forward in the next few quarters, kind of what's happening right now, things that are being tested and blended and combined completion design is a huge opportunity, facility design, big opportunity.  Just getting the subsurface teams that have been working in relative isolation in the legacy companies in the same room, comparing notes, challenging each other, challenging that we know this because we've studied this and we studied this and studied this. Having somebody walk in and say, I see it differently. And just the ensuing exciting conversation that happens is amazing and very synergistic to itself. The 3-mile wells I mentioned, supply chain bidding strategies, the economies of scale associated with something as simple as a chemical program, can be very valuable.  Technology, what we're doing with cameras and AI watching wells 24/7, looking for those environmental opportunities for us to continue to move in the right direction. Well monitoring, thinking about how do we improve on preventive maintenance and thinking about machine learning associated with that.  And then certainly, ESG, I think Devon had a couple of years ahead, a head start on WPX, the WPX side, I think we are really trying to ramp our knowledge and I think blending that with the existing great work that the Devon side of the house has done has really supercharged that, and we're seeing wins kind of across the board. I look forward to what Rick mentioned earlier in a couple of months, being able to really more fully articulate our ESG strategy go forward.
Neal Dingmann: Great details. And then, Rick, I know it's been asked, I'm just wondering, maybe you could talk a little on just the timing, particularly looking at the Williston and the Powder, I mean, there obviously has been a pretty -- it's a pretty strong Williston sale recently. I know, WPX, you guys were pretty frank about kind of what you thought on existing locations there. But obviously, the valuation seems to have -- really has increased on that. And then secondly, looking at the Powder, there's not as much activity there recent, but there's certainly some potential big upside. I'm just wondering, is this based on sort of your free cash flow generation plan, something that you think you'd tackle this year to decide what you want to do? I mean, maybe you can just talk a little more specifics on what it would take to sort of drive decisions around that.
Richard Muncrief: Well, I think, number one, you see up in the Bakken, it's a great base of operating, and that's why you've seen the activity, and you actually see some pretty competitive transactions recently. So I think it just shows the value of the asset that we have up there. We've got a great team. And as we've always said, the margins up there and the leverage you get from an improving crude oil price really drive home cash flows. And we're seeing that day in and day out.  So it is a area. We've been very open on that, Neal, to your question. It does not have the inventory that some of our other basins do. But it is playing a very, very important role right now, and it's cranking out a lot of cash for us. So I think we need to keep it. I think the in the Powder is almost the inverse of that. We have the opportunity to be very thoughtful. We have a great position there. It's very high cut we don't have to rush. We can be very thoughtful, very strategic about that asset, and we're encouraged with some of the things we're seeing there.  And I think you're going to see more activity up there from a few of the other operators. And so we'll learn from them as well. And in the meantime, we'll keep pounding the very high return, low-risk opportunities that we have in our portfolio. So I'd say right now, it's the summary of those comments are full steam ahead of that with the portfolio we have, and we're excited about it. And as we've said, it's all about generating free cash right now.
Operator: Your next question is from Scott Hanold with RBC Capital Markets.
Scott Hanold: Yes. And I feel like it's being beat -- it'd be pretty hard here, but on that divestiture comment, just to clarify, something like the Bakken, specifically at this point in time, if you can confirm if I'm hearing you correctly, that it really is a strong free cash flow generation assets. So it probably doesn't make sense to sell right now since you really transitioned Devon then to a free cash flow generation story. Is that what I'm hearing?
Richard Muncrief: It is.
Scott Hanold: Okay. Fair enough. Is there a point though, where that doesn't make any sense? And if that point does come, what would you all do with, say, theoretically a proceed if it were to happen, would it look like something similar to what you did with the Barnett where it would be more of a special type of scenario? Or is it just too early to kind of make that speculation?
Richard Muncrief: Yes. I think, some your questions are fine, but I think it just simply -- it's kind of just too early.
Scott Hanold: Okay. Fair enough. As a quick follow-up. If you all are running ahead of your development results and -- your performance has been outstanding. If that continues, would you guys ran in CapEx towards the end of the year to sort of mitigate your production growth? Or would you spend your capital and just see a little bit of production outperformance? So the point I'm getting to is you don't seem to have 100% confidence in the current oil market to want to grow today. But would your asset outperformance allow you to grow? Or would you stunt that a little bit in the back half of the year and save a little bit on the capital front?
Richard Muncrief: Yes. I'd just say we'll probably just stick with our capital spend. It's on track, and it's looking good. We're seeing great results, and we don't see anything at this point in time to alter our plan.
Clay Gaspar: Said another way, production is not going to be our limit. If we can make more production for the same capital, we're all for that. And so I think the big thing we stick to our capital. And you've heard that a number of times today, for '21 and make sure we're being as efficient with those investments we possibly can.
Operator: Your final question is from Charles Meade with Johnson Rice.
Charles Meade: Rick, to you and the rest of your team there, I actually just have 1 question, and this sort of gets back to the point of maybe looking past '21. Rick, how much time do you and the Board and the managing spend, thinking about the risk of maybe waiting too long to increase growth CapEx and the increased volumes. Is that even on your radar? Or is that just something that doesn't enter the conversation right now?
Richard Muncrief: Well, I think that's something that you'll be talking about maybe down the road. Right now, our Board has spent a lot of time just focusing on what we've talked about today, and that is positioning the company to be the leader that we are in the dividend framework that we have. And so I think our Board is very pleased. We'll watch how the equity performs. We're very bullish on our equity, and we think we're going to get rewarded for this. We certainly hope so. And so that's what our Board has been focused on. We'll have plenty of time to talk about outer years in the next few quarters. But right now, we're in a good spot.
Scott Coody: All right. Well, I appreciate everyone's interest in Devon today. And if you have any further questions, please don't hesitate to reach out to the Investor Relations team at any time. Have a good day.
Operator: This concludes conference call. Thank you for participating. You may now disconnect.